Zach Spencer: Good morning, and thank you for joining Comstock Inc.'s Third Quarter 2025 Earnings Call and Business Update. I'm Zach Spencer, Director of External Relations. Today is Thursday, October 30, 2025. We are streaming live, and this session is being recorded. A recording will be posted shortly after we adjourn in the Investor Relations section of our website. Today, we filed our Form 10-Q for the quarter ended September 30, 2025, and issued a press release summarizing third quarter results. Both documents are available on our website. As a reminder, Comstock is listed on NYSE American with the ticker LODE, L-O-D-E. Joining me today are Corrado De Gasperis, Comstock's Executive Chairman and Chief Executive Officer; and Judd Merrill, Comstock's Chief Financial Officer. After their prepared remarks, we will take questions. We received more than 45 questions in advance of the call. If you have additional questions during the call, please use the Zoom Q&A window, and we will address as many as time allows. Today's discussion will include forward-looking statements. Actual results may differ materially due to risks and uncertainties detailed in our SEC filings. Full risk disclosures can be found in our filings on the Investor Relations page and on the SEC website. With that, it is my pleasure to introduce our Chief Financial Officer, Judd Merrill. Judd, you may begin.
Judd Merrill: Thanks, Zach, and good morning, everyone. Let me just first state that this was a transformative quarter for Comstock. We strengthened the balance sheet. We funded our growth plans, and we positioned the company for the next phase of commercialization. As you can see on the company dashboard, our share count stood at 51.26 million, and this is as of both September 30 and as of today, October 30, same share count. Today, I will be covering a few financial highlights for the quarter, and then Corrado will be giving an update on each of the companies. So as we move to the next slide, I just want to show that we started the quarter with a major milestone, an oversubscribed equity raise that brought in $34.5 million in gross proceeds, including the overallotment, and we netted $31.8 million. What was especially encouraging is that this raise expanded our institutional shareholder base by more than 30 new investors, which we believe is a strong vote of confidence in our long-term strategy. So those funds will do more than just strengthen our balance sheet. They finance and accelerate the launch of our R2v3 certified zero-landfill solar panel recycling business. This means we now have the capital we need to move from development into full-scale commercial deployment. Also this quarter, we placed $5.1 million of equipment deposits on our first industry-scale solar recycling facility that's in Silver Springs, Nevada. This facility is designed to process approximately 100,000 tons per year or over 3.3 million panels annually. And then also site selection is advancing for the next two U.S. facilities and storage locations. At the time -- at the same time of all these activities, we made a deliberate move to eliminate all of our debt from our books. Every convertible note, every promissory note gone. We executed a series of transactions across AST, LINICO, Northern Comstock and Haywood to make this happen. And as of the end of September, Comstock is completely debt-free compared to $8.5 million of debt at the end of the last year. So this is a big moment for us financially. It's one of the cleanest, strongest balance sheets Comstock has had. We also closed the purchase of the Haywood industrial mineral properties, which we previously paid with $2.2 million in cash and stock. And on the related sale closing received approximately $400,000 in cash, which further adds to our liquidity. And then we ended the quarter with $31.7 million in cash and equivalents, including $12.4 million at Bioleum and our net current assets of $21.3 million. So now let me just show you a couple of other slides that kind of enhance how we are cleaning up the complexity and making things simpler. This slide just shows kind of the extinguishment of all those things that I just mentioned, starting with Kips Bay, all the way down through AST. And then the next slide shows from a financial perspective, cleanup of the balance sheet. So from my perspective as CFO, this quarter wasn't just about improving the balance sheet, it was about positioning Comstock in a place of real financial strength. And with that, I'll hand it back to Corrado to talk more about what's next for our solar recycling platform and our broader technology road map.
Corrado De Gasperis: Thanks, Judd. I appreciate it greatly. It's just remarkable looking at that footnote disclosure, and it's understated. We have no debt. But as you just pointed out, so many of these other obligations we're taking care of in advance, which really positions us now to be very focused. I guess I'd just like to start off by saying that silver is a core part of our DNA. Obviously, the Comstock load was the largest silver discovery in America, producing almost 200 million ounces of silver from a remarkable, remarkable epithermal deposit. It's been in our blood. It's been in our veins since day 1. It's remarkable to see what's happening with silver now as not just a precious metal, but as an industrial metal. It's exploding. 2025 was the year that silver demand hit record levels. Because of this industrial use, it's not just the solar panels, which is a remarkably growing component of it, but all of these other electrification activities. So people do think normally about batteries. And obviously, batteries and electronic vehicles are part of that demand surge. But when you start thinking about the compute infrastructure, the GPUs, the data centers, the robotics, it's much more pervasive than people are thinking, and it's constrained the mine supply for the first time in just a few years. And this demand, which hit record levels this year is forecasted to increase dramatically over the next 5, 6, 7 years. And that demand exceeding supply equation has had a remarkable impact even on the silver pricing. My graph's outdated because I show these 3, 4 years where demand has exceeded supply and you see the correlation to the increasing silver price, but silver price isn't in the mid-30s, it's in the high 40s. And we see this demand -- this long-term demand equation just continuing to go forward. Why is that relevant? Obviously, we have mineral assets, but it's most relevant to our metal recycling because every solar panel contains at least 0.5 ounce of silver. And when you're producing and processing 3.3 million panels in just one production line, you're going to establish leadership in silver production. I made this comment a few times, I got criticized for making it. I'm not trying to be promotional. I want people to appreciate that the revenue that we're getting from aluminum is extraordinary and the revenue that we're getting from silver is about to be extraordinary, and it's going to just continue to grow in volume for sure. And when you're talking about a couple of million ounces coming just from one production line, you're going to take a leadership position. Our system, as we -- as many of you now know, has four powerful characteristics. One, it eliminates all contaminants cleanly. It also has the lowest variable and operating cost in the industry. We don't see anyone that's even close to our variable cost profile. And then with the fully automated system, it takes very, very little labor to operate that machine. It's very, very fast. High-speed processing means getting up to doing a panel every 7 seconds. And it's that singular characteristic that allows us to scale to those levels, millions of panels per year for one production line. And what we really sell to our customers, which are the largest utility companies in the country, are peace of mind. We know they know that, that liability will be fully terminated, not partially terminated, not temporarily terminated, not terminated somewhere in the future, but immediately permitted in its complete and total sense. So that peace of mind is really what makes our offering most different. We already have proven that we can produce clean materials. Our unit economics are robust, right? Everything that we've seen to-date suggests that what we've guided to is the numbers, and I'll show them to you again. But just as a reminder, clean aluminum, clean glass and then these silver-rich tailings that we're just selling as tailings. So we're not refining them today. we're getting a meaningful amount of the silver value. In the future, we would like to refine them. We'd like to get the silicon. We'd like to get all the silver. We'd like to get some of those critical and rare earth metals, tellurium, iridium, gallium, depending on the type of panels that come in. I guess the biggest news that we're reporting is that we've got great notice from the Nevada Department of Environmental Protection with a very specific timeline to the final issuances of our permit. This does not come in a vacuum. We've easily met with them every single week for the last three weeks. It's been a very productive, very clear process. We've seen the final draft forms of the permit. We've discussed the process, and they've synchronized the final issuances process with us so that by Christmas, all of the public comment notice periods will have been completed. That fits right in line with our schedule of receiving our equipment here in the fourth quarter and commissioning in the first quarter. So we could not be more thrilled, relieved probably is a better word that these permits are on their way. That big facility that you see there is what we're permitting. I think people have met me over the last two or three months when I showed them this picture, I say if you saw the parking lot today, it'd be full of panels. So I want to show it to you, right? We're receiving panels constantly. We had about $0.5 million of billings in the third quarter. The number is right in line with our guidance in terms of doing about $3.5 million of billings this year. There's a little bit of a slow burn leading up to these permits. We're ecstatic to have gotten them. We're moving forward with much, much bigger order discussions with our existing and with new customers. So this manifestation of scaling up of these panels coming in is happening, right? So we feel very, very good about the engagement of the market. The panels that you see would take a year in that tiny little demo facility to process. It'll take about two weeks, right, for the large facility to process these all out. And that facility, which you see here on the screen just to the right, sits adjacent to property that we've secured and permitted for this massive expansion of storage. So we've got about 4,000 to 5,000 tons sitting there today. We could fit depending on how we profile this thing out, 20,000 to 25,000 tons right next door. I mean literally right next door. You just come over and you're processing. Yet we have legal separation between the processing facility and the storage facility, which is prerequisite. As I mentioned, unit economics are holding strong. The variable costs are very, very low. So that is our claim to fame. We don't only have a high-speed process. We have a very, very low variable cost process. For those who like that stuff, we call it throughput, right? The speed at which cash moves through the system is very robust. It's more robust because we get paid upfront for taking this environmental liability off our customers' hands and providing them peace of mind. And then we're selling all of those materials. We haven't updated these numbers. In terms of offtake sales, but silver price, of course, is having a positive effect on that equation. We want to get two facilities in Nevada because the market today is about 3.5 million panels coming out. The market in 2030 will be 33 million panels coming out. That increase from 3 million to 33 million is what we see with our largest industrial utility customers. So when we have a customer that has the potential to give us 5,000 or 10,000 tons next year, that customer is a 50,000 to 100,000 ton customer, not always not every time, but in direction, that's what we're laying the foundation for. And this is the 1.4 billion panels that are deployed in the United States alone. 1.4 billion panels. So when you think about 3 million or 33 million, you're literally at the tip of an iceberg for a market that is exploding. And so we don't see that relenting in the speed at which we deploy our solution is one of the most critical success factors. Our customers are where you'd expect them to be. Over half of the market for end of life sits in California. You add Nevada and Arizona to that equation, and it's a robust percentage of the market. So by having two facilities in Nevada, even though the permitting regime here is very strict, even though the regulation is very diligent, we believe that's a competitive advantage for us today because we're positioned right in the middle of the largest part of the U.S. market. And we're not just taking in panels. We are still processing and we are still shipping materials out the door. So we got a lot of questions, as Zach had said. And so I've added some slides to maybe address some of the non-metals questions. So I'll give a little bit of insight on some of the mining assets, just a few, a little bit of insight on Sierra Springs, just a few and then maybe wrap up with some highlights. We got actually a relatively large number of questions on Bioleum. And then we'll go right into Q&A, Zach, after I do that, if that's okay. So for those of you that don't appreciate it as well, our namesake is the Comstock Load. This is the 12 square mile mineral district that we've consolidated. It's historic because it produced almost 200 million ounces of silver and over 8 million ounces of gold. Most of that was in this 2-mile strike right here, Virginia City. It's pretty mountainous up here. You're integrated right into the community up here. But there is tremendous gold and silver resources up there. It was never part of our plans to develop those resources. We focus much more on the central part of the district. That's where we mined and built infrastructure between 2010-2016. And then quite ecstatic about the layout of the southern part of the district where we talk about the Dayton consolidated. And recently, we acquired the Haywood Quarry. So for those who were not clear about that, maybe I got a better slide here, here it is. The Haywood Quarry -- what the Haywood Quarry did is really put us in immediate proximity of the Dayton resource should we want to have an alternative or should whoever ultimately mines this resource want an alternative for processing those assets. So in that way, it was very strategic. It was very inexpensive. We certainly haven't deployed any capital for these mining assets since before August. The other thing, too, is that Mackay Precious Metals sale, which is all of these Green properties up north that we really never had any plans to develop, and we retained a royalty on that. So we wish them the best of luck in developing them. When the deal wasn't just to get $3 million for those mineral claims, there was another almost 240 acres of land in Lyon County that they had that we got with no additional consideration as part of that deal. So when you talk about monetizing the mining assets, what you see here in blue, now better filled out with Haywood and better filled out with some of these additional properties, mineral claims and otherwise, just makes this portfolio much more attractive, much stronger, much more cohesive. So when we talk about monetizing, we sold the Green, there's a resource and an infrastructure in the middle, in the purple. There's a resource below in the blue and a lot of potential for more. So the day has a published SK-1300. It's the equivalent of an NI 43-101 in Canada. It's got incredible resources immediately at surface. And when we ran the numbers on this resource at $3,000 gold, we were looking at over $0.25 billion in free cash flow. When we ran it at $3,500 gold, the number got much, much higher, pushing $0.5 billion. Actually I'm sorry, the first number was at $2,250 gold, but at $3,500, we're pushing $0.5 billion in cash flow. If you push it up to $4,000 gold, you're adding another $100 million. It's about $20-plus-million for every $100 of increase in the gold price. So you have an extraordinary economic asset here that people now -- and I guess I can say this, we have people now that are engaged and interested in this asset. We have people now that are engaged and interested in the Lucerne and the American Flat assets. So the precious metal prices is certainly having a positive effect on all of that. If you think about -- maybe let me just jump forward. If you think about the Comstock, which I just reviewed with you, this whole property package here, you see in the bottom left-hand corner, you see our proximity to Lake Tahoe, 10 miles probably as the [indiscernible] flies as well as the California border. If you go up Highway 50, that's where the Sierra Springs properties are. That's where Comstock has two properties, about 258 acres and some water rights, and that's where the State designated this huge opportunity zone. So you're sitting in one of the hugest opportunity zones right at Lake Tahoe and the California border. It's just remarkable. The Tahoe Reno Industrial Center is absolutely exploding in terms of industrial development. It's almost surreal. For those of you who have driven through it, you know what I'm talking about, 10 million square feet of construction -- undergoing construction as we speak. People are less familiar with the notion that Nevada is one truck day away from like 70 million people, two truck days away from a massive population. And so it is central from every context. But it's business climate and it's environmental climate, the fact that it's between 69 and 72 degrees here, 80% of the days year-round makes it the ideal or one of the ideal locations for data centers. And so Tesla cracked the nut open by building their first gigafactory here. Now they announced they're going to build their first 18-wheeler semi-truck factory and they're going to announce a new industrial battery factory. They've announced all that. They're going to produce it. But then the Apples and the Googles and the switches and the Microsoft and all these companies just sort of pouring in and building these hyperscale data centers have created a tremendous industrial opportunity here. And so we did advance some money. The overallotment made it convenient for us to advance a little bit more money to Sierra Springs. There are some major transactions formulating right now around these properties. And you're talking about hyperscale data centers, you're talking about off-grid renewable energy, you're talking about land and capital. It's all congregating. It's not a Northern Nevada phenomenon, obviously. It's a global phenomenon, but we're one of the top 5 locations for this phenomenon to be hitting the ground. And again, I just want to say that there's a bigger thing happening here. Our end game is monetization, of course, but we need to take a couple of intermediate steps to unblock something that I think is just going to be extraordinarily valuable for our company and our shareholders, super enabling. As I mentioned, a lot of questions about fuel, try to wrap this up pretty quickly. As everybody knows, Marathon Petroleum came in and made a remarkable contribution to our company, our fuel subsidiary in March of 2025. A few months later in May, we got a direct Series A investment, and we formed Bioleum Corporation and separated it from Comstock. How did we do that? We took all of our investment and we restructured it into a convertible preferred security, $65 million. It's Series 1. It is at the top of the cap stack, and it converts into 32.5 million of underlying common shares. So we could not be sitting in a better position because today, that's over 75% of Bioleum. We are going to continue the Series A. I have some updates with you all on that. But the company is forging its own identity. It's building an incredible competency of management. I mean I almost feel honored, if not awed by the people that are coming into the company that are industry leaders across the entire supply chain from feedstock to aviation fuel and everything in between. They're picking us as the companies that they want to work with, and it's extraordinary what we have, right? We really have a platform here that is unblocking what we believe is the bottleneck in the renewable fuel industry, which is the feedstock for sufficiency of low-carbon fuels. The average technologies out there can do 40, 50. I mean, if they're really good, 60 gallons of equivalent fuel per ton of waste biomass. We're well over 100, pushing 120, 125, 140 depending on the mix of our technological solution and/or the feedstock. And we do it all, like from Hexas and woody biomass, all the way through to drop-in fuels. Our technology, our platform is advancing, expanding and positioning all of this to scale. This is the facility or at least a couple of photos of the facility that we now operate that we now own 100%. We, of course, being Bioleum Corp. And we're slowly but surely bringing all of this back online. So instead of going from sugars to sustainable aviation fuel, which they did, and they did sufficiently, frankly, to do the first transatlantic flight that was based on sustainable aviation fuel. So this is remarkable technology, but we're also doing it with our Bioleum to our Bioleum oil fuels, ultimately wanting to get barrels a week out of this demonstration facility and being able to feed it with some of the highest-yielding feedstocks. So we have the rights to access biomass and there's nanofibers. There nanofibers are one of the top, if not one of the top leading producers of oil from agriculture, creating a scenario where you're really going from farm to fuel. You're creating oil reserves, carbon reserves, for lack of a better description that are sustainable, meaning they don't deplete, meaning they continue and continue. And they do it at extremely low carbon impact scores. Our scores using waste materials are the lowest that we see in the industry for this kind of scalable solution. And if we're using purpose-grown biomass like Texas, they're going to be lower because it's a perennial crop that leaves most of the carbon in the ground. And Oklahoma is our second hub to Wisconsin. So Oklahoma, it's remarkable. We have committed to a site in Oklahoma, but we're having continued dialogue with the state about more incentive, more aggressive desire to have us come and be there and establish there. So we've got a $3 million incentive grant. We built the first [ 2 ] of the $3 million based on the work we've done so far. We've got an allocation of $152 million in tax-free municipal bonds. That's being extended. So that's fantastic. And they want to -- and we are engaged in a discussion about even more incentive for even more of a platform, be it feedstock, be it biorefineries, et cetera. So we couldn't be more thrilled with Wisconsin or Oklahoma. And our solutions are being solicited from many industries. The Hexas Biomass solution alone is attracting commerce because of its efficiency, because of its yield, because of its capacity and even for things other than fuels, but the ethanol industry, the pulp and paper industry, even the petroleum industry for blends can integrate portions of our solutions across their businesses and across their industries. And so I didn't want to go too far into this, but the names that are on this screen are certified partners. We're either working directly and exclusively with them or we're integrating what they do fully into our own system. And the team is deep. I mean, you see 6 people on this page. The management team is almost up to 40 people, and they're all extremely competent biofuel professionals. So with that, Zach, I would pause it, hopefully covered some of those questions that you got in advance, but pause it for any additional questions, please.
Zach Spencer: Okay. Thank you, Corrado and Judd. As I mentioned at the beginning of the call, we received more than 45 questions prior to the call. And I can see we have a number of additional questions coming through Zoom. Judd, our first question is for you. Where does liquidity stand today?
Judd Merrill: Yeah. So $31.7 million cash at the end of the quarter, corporate, that's $12.4 million at Bioleum and the net current assets at $21.3 million. And then, of course, we eliminated the debt, so that takes a lot of that debt service going forward away.
Zach Spencer: Okay. And how long is the cash runway?
Judd Merrill: So we are fully funded on our business plans to take Comstock Metals to sustain profitability and growth as we head into next year. And we're wholly dedicated to accelerating that growth with customer acquisitions and then the most efficient rollout of our metals processing and storage facilities that we're currently building right now. And then as a reminder, Bioleum is now self-funded through its own capital raises.
Zach Spencer: And why the loss on debt extinguishment and what's left?
Judd Merrill: So the $2.77 million Q3 loss, that reflects the payoff of the 2025 Kips Bay Note and amendments to the legacy George and Alvin Notes. But more -- what's important, we did eliminate the debt on those instruments and any future costs and dilution associated with these types of variable rate instruments. And so we're just -- we're happy all that's behind us now.
Zach Spencer: And now that Comstock is funded, should we expect any dilution?
Judd Merrill: So we currently have the 51.26 million shares outstanding. And we're funded through commercialization and profitability of our first industry scale solar panel recycling facility. We haven't issued any shares since our transaction and capital raise in the quarter. Bioleum is being funded directly by strategic and financial sophisticated investors. So what have we done? We've positioned the company for a profit company in two of the most dynamic energy relevant exponentially growth markets. So our job really is to execute and capitalize on those opportunities. So we'll continue to do this in the most like fiduciary, responsible, diligent, professional and transparent means possible. We're here to grow the values and hopefully in large and meaningful ways. We did guide in early January our plans to create these two high-growth companies, a Nevada-based metals company and an Oklahoma-based oil and gas company that will be separated. And so we've accomplished almost all that work so far this year.
Zach Spencer: Judd, what will Comstock do with revenues once Plant 1 has funded future plants? Return excess cash to shareholders?
Judd Merrill: I'm jumping on that question. Okay. So the revenues, Plant 1, we expect that in the first half of the next year. Our first priority is going to be to reinvest those cash flows into expanding the metals recycling capacity. So each industry scale facility costs roughly $12 million to $15 million. And so once we've established multiple operating plans and then stabilize our cash generation, then we can evaluate what makes sense and that's our next highest priority.
Zach Spencer: Okay. And Judd, are there any plans to dilute to fund mining operations?
Judd Merrill: No. No. I mean we don't anticipate issuing any equity to fund mining. So our mining assets, we looked at the slides that Corrado presented. They're stable. They're well maintained. We've got a lot of property. They're being advanced selectively. So any funding that would likely come from either a joint venture or asset level transaction, that's how we would position it, but not new Comstock share issuances.
Zach Spencer: Okay. Thank you, Judd. Let's pivot to Corrado. Corrado, what is the strategic rationale for continued funding of SSOF in light of prior guidance on monetizing or divesting noncore assets?
Corrado De Gasperis: Yeah. I think I would just -- I briefly did touch on this. I'll maybe expand on it a little bit. But what we're seeing with these land and energy requirements for data infrastructure, data centers, it's more complex than just the horizontal development or the vertical development of a data center, right? There's infrastructural requirements with the land, with the water rights, with the energy, especially. And it's exploding. It's exploding. I mean I don't know that I've ever seen anything this big in terms of a market, both in terms of scale and dollars. And so our properties here are just so well-positioned and -- but there does require some engagement on this, right? And so we're very engaged. And we have an opportunity here to accelerate what's happening there. And to capitalize best on that opportunity, we advanced more -- the notion of advancing some more funds there was made possible by the overallotment, but it was also opportunistic, right? We know we can't disclose everything that's happening yet. Hopefully, we will be able to do it sooner, but it's bigger, right? And so it did require some more capital, and it will ultimately result, I think, in a much, much bigger value for us and our shareholders. Now we're not distracted by it. It's very transactional at the moment but we're very engaged. So I guess we hope to share more about this in early 2026. We're excited about it. It's opportunistic, and I don't want to say that means it's lucky. I think we're in the absolute best possible place. So we're just fortifying that so that we can really execute in the best possible means. Hopefully, that's sufficient for now.
Zach Spencer: Corrado, why did revenue decline in Q3? And when does it inflect?
Corrado De Gasperis: Yeah. So referring to Metals, first of all, there's two answers to that question. One is we were leasing some of those mining assets that we sold to Mackay. So the sale of those mining assets resulted in lease revenue being sort of wrapped up in the second quarter. So we saw a drop in that. That was certainly expected. But the more meaningful discussion is around metals. We had a very robust Q1 and Q2. We guided to about $3.5 million of billings this year. We're almost at $3 million through Q3. Most of our activities in Q3, frankly, were around preparing the site, preparing the building, preparing the storage, facilitating the permits. That's not to suggest for a minute that we decreased our engagement in the market. We increased our engagement in the market. We haven't ever been more engaged in the market and the pipeline hasn't ever been bigger. However, there is some sensitivity around our biggest customers wanting to make sure when they deliver us their panels, we are terminating those liabilities. Some that are more intimate, who have come out, who have audited us, who have seen the larger facility, they see what's coming. They're a little bit more flexible. Some who haven't really need by either corporate policy or just by the stringent nature of the way that they operate to see those permits to see the larger scale facility, quite frankly, to see the expanded storage. So there's a little bit of a slow burn happening. It's a great backlog, but we're not -- we're on or ahead of schedule in so far as any measure that we would think about in terms of metal scaling up.
Zach Spencer: What's behind the higher SG&A and R&D?
Corrado De Gasperis: The growth in SG&A, I guess, is twofold, right? We're clearly scaling our businesses. So some of that -- quite a bit of that is rent for our facilities, including bringing on Madison to a smaller degree, bringing on Oklahoma, certainly increases in people. That's also true for both Metals and Bioleum. In the Bioleum case, it's research, it's development, it's scientists, it's chemists. In the Metals case, it's a lot of marketing and sales covering the domestic market. There was also some nonrecurring stuff in there. By extinguishing the Northern Comstock obligation, we had this like obligation that went out another couple of years. We extinguished that in August. And the effect of extinguishing that and getting it off -- getting all those liabilities off was accelerating some expense into our P&L. That's frankly going to result in about $1 million of savings a year relative to what we were doing in the last 9 years. So that's like a win-win. We got rid of the obligation, and we permanently reduced an ongoing expense. So we're very happy about that.
Zach Spencer: We have several questions about Comstock Metals. Whatever happened to the metals recovery business and equipment?
Corrado De Gasperis: That might be referring to maybe the mercury recovery or maybe the lithium-ion battery. Let me -- the quick answer to that question, I guess, is from 2017 to about 2021, we were ramping up some metal recovery and recycling businesses. I guess the most meaningful is we started in the lithium-ion batteries, but then we pivoted to solar panels. So to be crystal clear, all of our metal recycling and renewable metal businesses is the solar panel recycling business. We do not have -- we repurposed some assets from the lithium, but it's pretty much that's all gone. From the Mercury standpoint, we have some assets here at the mine site. We have some assets in the Philippines that we're exploring other people using, but we're not -- it's not -- we wouldn't call it a business. It's all about solar panel recycling and nothing else.
Zach Spencer: Why not build smaller cookie-cutter plants to cut transportation costs?
Corrado De Gasperis: I mean our strategy is to locate our plants in the most immediate and closest proximity of where those solar fields and solar end-of-life solar panels are sitting. That minimizes the logistics cost. Being in Northern and Southern Nevada covers about 55% to 60% of the market that we see clearly between now and the early 2030s. So we think Nevada is absolutely the best place to start and then extrapolate it across the country. I think the sizing of our facilities, the engineering of our facilities was designed to be optimal, what's the biggest, fastest facility that we could build, but they're not -- when we say smaller, it's a little bit of -- they're impressive. When you guys see these facilities, if you come to visit us, you'll see a very impressive system. But $12 million of capital fits in -- you could probably fit two or three of these production lines in one facility. So I think we do have a notion of, I don't know, cookie-cutter is the right word, but replicating that system across once we have the first one fully up and running mid next year, replicating that and deploying it across. So I think that's actually what we're doing. The notion of smaller -- I don't know, that's against our DNA, right? We want to go faster. We want to have the most scalable, highest throughput system that we can produce.
Zach Spencer: How are you monetizing all recycled materials?
Corrado De Gasperis: So a ton comes in the door, we lose anywhere from 6% to 8% of that in a good way, right? We eliminate all the contaminants cleanly. And then the remaining 93%, 94%, whatever it is, that material is fully sold in the form of clean aluminum, clean glass and then the silver-rich tailings. So we're monetizing it by literally selling and billing our customers for those clean materials. Ultimately, we want to refine those materials and then we'll be at another higher level of value when we're selling silver or rare earths or more precious refined metals.
Zach Spencer: Can you elaborate on the current MSAs and the solar panel supply?
Corrado De Gasperis: Yeah. I mean we signed three meaningful new MSAs just in the last quarter. I know we signed more than that, but I'd like to say three because remarkably, we signed a major utility, which is our bread and butter and we're targeting and what we have the most of. We signed an e-recycler, which is prominent and big volume potential. And we even signed an OEM, like an original manufacturer, not a lot of solar panel manufacturing in the United States, right, most of it's in Asia. But those businesses, it's a little counterintuitive. They're not end of life. They're beginning or unfortunately, panels that never are born because something went wrong. But it's Steady Eddie businesses. And so we signed three of those. We're very excited about that. And that's our strategy, right, to build the biggest market share in the industry through these master service agreements and the supply chain.
Zach Spencer: We do have a lot of questions about Comstock Metals. This is a 2-part question. When will the Silver Springs site hit capacity followed by what about sites 2 and 3?
Corrado De Gasperis: So we're commissioning in Q1. I would love it if during Q1, we had 15,000, 20,000 tons of material sitting there. So that's certainly possible. We already have almost 5,000 as you saw the pictures of. And then we'll ramp up starting in Q2 with the production plan. We don't have total clarity at 20,000, 25,000 tons, we're making money. So that's our first milestone, then it will ramp up from there. I wouldn't imagine that, that facility would be running full probably until the end or the latter part of 2027. The data points that we're getting suggest the quickening, right? But it's just still too early. When you talk about, well, oh, we got 80,000 panel order last -- the beginning of this year, we're super excited. Now you're talking about orders that are like 3x and 4x that size. It gets very exciting. So the preliminary data points tell us it's coming sooner. But we just don't -- we don't have certainty to that, but it's coming. We'd like to get Site 2 up at the beginning of '27. We'd like to get the Site 3 up at the beginning of '28 or earlier, right? So Judd mentioned, we're already doing site selection. We're in Southern Nevada. We're in the middle of the country. We're in the East Coast. We're talking even to some customers and suppliers and partners. So there's a lot going on there. That is quickening. But conservatively as first one comes up beginning of next year, beginning of '27, beginning of '28, you have three facilities with 300,000 tons of capacity by '28, that would be very good baseline.
Zach Spencer: Corrado, I think you touched on this, but how much throughput do you forecast for 2026 through 2028?
Corrado De Gasperis: I mean, yeah, I did just sort of touch on. I mean, conservatively, this 20,000 to 30,000 range for a partial year next year would achieve our objectives. We'd be profitable. We'd be ramped up to a scale bigger than anyone's ever seen. To-date, hopefully exiting the year at a much higher run rate, getting to that full capacity by the end of the following year. I mean, could you be doing 200,000 by the end of '28? Most certainly, you could. So that's all prospective estimates. It's not based on hard core replacement schedules of our customers, but we're getting better and better insight to the replacement schedules of our customers, and it's certainly more than possible.
Zach Spencer: And what about silver refining?
Corrado De Gasperis: So refining is a big topic, okay? It's a big topic because we care about it, and we're very excited about it. Fortunato has already developed his own conceptual designs of the best, most efficient ways to tackle this with our materials. Obviously, we're getting more and more educated with the varying compositions of our materials, some that have more of these rare earths, some that don't. And so he's got a conceptual design. It's exciting. So now we have to go into a TRL development process. We have to do some testing. We have to do some piloting and then ultimately get it up and running. Our desire is to start that posthaste as soon as Plant 1 is fully up and running. So middle of next year, but we're already identifying partners. We're already planning out some of the work because the government also thinks this is a very high priority. We couldn't agree more. But Department of Energy, Department of Defense, White House is saying, A, silver is a critical mineral. B, refining is a critical competency that we're missing to keep these materials here in the United States. So when people recycle batteries or solar panels and then just send all those materials to Asia for refining, it doesn't really achieve the goal of a domestic supply chain. So everybody cares about it. There may even be some funding support from the government to accelerate this stuff.
Zach Spencer: Corrado, you did touch on the silver refining. When might you invest in in-house silver refining?
Corrado De Gasperis: I mean, if we started at the middle of next year, the earliest would be like end of 2027, and it could very much be later than that, right? What's key is we're building the material flow, right? And the bigger that material flow, the higher the value that will come when we ultimately do refine. And that applies not just to Silver, Zach, right? We're not looking at how do we just get the silver out and get rid of all the rest of the materials. We're looking at how do we get all of the elements out, how do we do it cleanly and how do we maximize the value.
Zach Spencer: Okay. When you say all of the elements, what's the status of rare earth element recovery?
Corrado De Gasperis: It's the same -- it's exactly the same point, right? Like we are working on -- just to say, we're not working on how do we get the silver, right? We're working on how do we get all of the metals out. Now the question does lead me to be able to highlight another thing. We are the only people that we are aware of today that can take any single type of panel. We do not care monocrystal, polycrystal, bifacial, cylindrical, thin film, you name it, we take it, right? That means we'll have the most variation in terms of what those compositions are coming out. That means we'll have the most value in terms of what's coming out. Hence, we need a comprehensive refining solution, if that makes sense.
Zach Spencer: Okay. Both you and Judd referenced Comstock Mining. So let's now pivot to a few questions on Comstock Mining. What's happening with the mining and land portfolio?
Corrado De Gasperis: Yes. So I saw this question earlier. This is one of the earlier ones that came in, and I tried to demonstrate with that visual that we are very keen to have sufficiency of that portfolio. Obviously, we already have all the mineral properties. We already have the resources defined and being consolidated. But the Mackay transaction and the Haywood transaction really connected a lot of dots and made things either more efficient or more convenient in terms of anyone's prospect for mining. I mean we added almost 440 acres of industrial land, right, to that portfolio for no additional capital expended. It was remarkable.
Zach Spencer: Given the high gold prices, what are you doing to enhance mining interest?
Corrado De Gasperis: I think the most meaningful thing that we're doing right now is besides engaging these counterparties with our assets and what they're capable of, we're finishing off a preliminary economic assessment. This has been in our objectives for the year. We made remarkable progress. I would say we have a few more months to go to finish it up. But that will be a published technical report, updating our current technical report. It will provide preliminary economics, meaning potential cash flows, cost to produce, return on investment capital, the whole shebang. And not only will that provide objective third-party validation of what we see, but it would also allow us to provide sensitivities, right? So third-party would do this, but what does this thing look like at $2,500 gold? What does it look like $3,500? What does it look like at $4,400 gold? And so we've seen some companies publish these recently. They're outstanding. They're transparent. They're crystal clear. And luckily for us, because of all the data we have in our previous mining history and otherwise, it's only a few tens of thousands of dollars for us to get this fully wrapped up. And it's a very important thing for our shareholders to know and maybe more importantly, for prospective mining companies to know.
Zach Spencer: And with that in mind, what's the biggest barrier to restarting mining?
Corrado De Gasperis: Our only barrier would be prioritizing it. Like we're not prioritizing going into mining production. There's no scenario we're going to allocate $1 to restart a mine when we're looking at deploying 7 recycling facilities that could produce $350 million to $400 million of free cash flow a year. So that's it in a nutshell. So the most practical obstacle would be finding a partner or someone who wants to do it, right, and figuring out the smartest, most effective way to monetize those assets.
Zach Spencer: Will you joint venture or sell your gold and silver assets?
Corrado De Gasperis: We would do -- we use the word monetization. I'm trying not to be cute, okay. So let me just be explicit. Monetization could be a joint venture where people pay us. Monetization could be a sale, right? Monetization could be a sale and a royalty. At the end of the day, monetization could be mining and getting all the money, okay? That's not -- I just said where our position is on that, right? But we just have to look at all the relative possibilities. We're obviously trying to do the formers, not the latters.
Zach Spencer: Okay, Corrado. And that was a 2-part question. Sorry, I didn't tell you that at the beginning. Any serious inquiries?
Corrado De Gasperis: I would say yes now. Yeah, I would say yes now. There are serious inquiries, right? And there were a lot of not so serious inquiries before, just FYI.
Zach Spencer: All right. We have a final question on the mining and then we will move on to fuels. But the final one for mining. How sensitive is your internal view to precious metals prices?
Corrado De Gasperis: So I guess I can only answer that for the Dayton resource, okay, where we have over 300,000 gold equivalent ounces in that resource, and we've profiled the mine plan. I mean you look at the recoveries, you would say that for every $100 of gold, you're going to add over $20 million. So that's why our free cash flow. So when we went from [ $3,500 to $4,000 ], it increased our cash flow outlook from $500 million to $600 million. But there's a lot more in the district to be developed and expanded on. So when you're talking about thousands and thousands of acres and your resource is sitting on only about 45 or 50 of those acres, there's more potential than just that one mine plan. But that's the answer. It's strong.
Zach Spencer: Moving on to Bioleum Corporation. Has Bioleum secured Series A capital from outside investors for the refinery scale up?
Corrado De Gasperis: So we have secured Series A capital. We have the deal that we announced and closed in May. Of course, we also have Marathon with their coming in with their facility and some additional cash commitment. We hired a Director of Capital Markets, who is extraordinary. We're doing a number of things, transactions at the Bioleum level to round out and fortify the supply chain. It's extremely exciting. These things will likely be known over the next month or so. And then we are finalizing all of our preparation to more formally go back into the market. It will probably be January. It will probably get done in Q1. We're feeling very, very, very good about it to raise and complete the Series A offering. And to be clear, the Series A offering was never for proceeds to build the first biorefinery, right? That would be a second capital raise at the project level with project financing for that larger scale commercialization. And those activities would come after the Series A. So yeah, that's it.
Zach Spencer: Okay. And you touched on this, but what is Bioleum's capital structure?
Corrado De Gasperis: Yeah. We have $65 million in preferred stock. It represents about 75% today, pre-completion of the Series A, that number will absolutely go down when we complete the Series A, obviously, management and founders own 20% and the new investors to-date are about 5%. If we do some acquisitions with some stock and we finish the Series A, as I said, our 75% will be lower, but still very, very strong, very, very valuable, and we're extremely excited about it.
Zach Spencer: How did you determine the Oklahoma site?
Corrado De Gasperis: The site activities in Oklahoma were -- I think the things that are important to us, I think, will probably be intuitive logistics, proximity to feedstock, relevant infrastructure. To be really blunt, like we had many attractive sites in Oklahoma. One of the problems wasn't finding one. It was which one would be the best first and best first from an economic and transactional perspective. So all that played into -- we have defined a site. It's fantastic. But now there's overtures with one of the other sites aggressively with potential more incentives and capital. So we're not being indecisive. We have a couple of really great opportunities that are going to manifest itself. So we're long on Oklahoma. The business environment is exceptional better than I've seen, frankly, anywhere else. And that doesn't mean the business environment in Wisconsin is not fantastic. It is. We're really sitting in two really good locations.
Zach Spencer: Staying with Oklahoma, please provide an update on the Oklahoma bond placement and other incentives.
Corrado De Gasperis: Yeah. So we got $3 million grant. The first $1 million was tied to committing to our headquarters there, done. The second was tied to committing to a site. That's done, although now we're just -- we're toggling between a couple of options. I don't think there's a winner and loser. I think it's just a question of which one goes first, which ones go second. So that's really great news. So we build the second of the third million. And then the third comes when we've done sufficient work in terms of preparing that site. So all that's on track. We also got $152 million bond allocation. That's in the process of just being extended, which was part of our original plan. We knew when we got it, that there would need to be a rollover or extension. So all that's going really, really great.
Zach Spencer: And are load shareholders still connected to the fuels business?
Corrado De Gasperis: Yeah. I mean I apologize if we -- I guess, we obviously create a lot of confusion on this at the beginning of the year. I'm a little surprised that confusion persists. We separated Bioleum. We achieved our objective there. They've raised capital independently. That's just an incredible achievement that the market is still waiting to help us recognize and value. We know we need to deliver more and achieve more for that to happen. But ultimately, the management team is performance incented in a massive way to not only get these commercial activities done, but then go public, okay? So the end game of the capital structure is a standalone public company, which then results in us having a liquid investment in a massive potential oil and gas, renewable gas company. So hopefully, that answers the question once and for all.
Zach Spencer: Okay. Thank you for that. Moving on to battery recycling. What about our investment in Green Li-ion and battery recycling?
Corrado De Gasperis: So Green Li-ion initiated when we started the process in 2021 of going into lithium-ion battery recycling. As I mentioned at the beginning, we've pivoted from battery recycling to solar panel recycling. The battery recycling that we were doing would produce a black mass that the Green Li-ion technology would then take and refine into precursor cathode active materials, not dissimilar to us taking the silver tailings, the silver-rich tailings and refining them into more salable and valuable products. A little bit different, but similar. So as we went into solar panel recycling, the Green Li-ion investment became less interdependent, certainly less strategic, if you will, and we're looking to monetize it. They're making incredible progress in Oklahoma with their facility #1. In context, we're like ahead of them, right? We fully demonstrated it. We've fully demonstrated our unit economics. Now we're scaling to massive industry scale. They're still doing that first part. It's going very well. I think as they start to scale up, and quite frankly, I'm more optimistic now it's a tough -- technology development of something brand new that's never been done before is not easy. They have big feedstock agreements. They have big offtake agreements with blue-chip automotive companies, frankly. So we like what they're putting in place. We like how they're putting in place. Obviously, you always wish it would go faster. But ultimately, they're either going to do -- they're going to need to raise more capital, I'm sure, to get to the next level. Hopefully, as part of that process, we can monetize our investment out. That's our objective. God willing, if they went public, then would make it easier for us to ultimately monetize our investment. That's our thing. We monitor them very closely. We like what they're doing. We're close with the people. Things could go wrong in any TRL scaling company, getting out of the valley of death, sorry to use that term, it is very, very difficult. We know it well. That's why we're so excited about what we're doing with metals and fuels. But right now, we would think hopefully, maybe hoping mid to later next year that there's some transaction that enables us to do some kind of monetization.
Zach Spencer: We do have a follow-up question on Comstock Metals. Will we license our solar panel recycle business to other countries for royalties?
Corrado De Gasperis: That's a good question. 1.2 billion, 1.3 billion, 1.4 billion, whatever number you picked for U.S. panel deployment is massive. But outside the U.S., it's 8x to 10x that. So you're talking about 8 billion to 10 billion panels deployed outside the U.S. And we have gotten some very positive inquiries, overtures, visits outside the U.S. jurisdiction with the interest in leveraging our technology in their countries. And so for us, we need to make sure that they're good partners. We need to make sure that there's some control over the process and the technology. So would it be a joint venture? Would it be some combination of a joint venture/licensing agreement? Yes, it's not at the top of our priority list, but it's certainly bubbling under the surface.
Zach Spencer: Okay. And a follow-up question on SSOF. Can you walk us through the increased investment in SSOF?
Corrado De Gasperis: Yes. So not super explicitly, but I can tell you what's happened so far, right? There's a number of transactions that are forming. We have to make sure SSOF is in a position to execute those transactions in a very strong way. So because we haven't concluded on all of the details, we played it very safe, right? We advanced some money. Theoretically, we could get that money back and not take any additional ownership or we could do something more meaningful. That's what's happening right now. So it looks like it's -- well, it doesn't look like we stated it as an interest-free advance, but it's not a free advance, right? There's really big opportunity here. We're being very diligent. We're being very careful. We're in control. So that's a good fact pattern. There's demand. Look, I mean, we find ourselves in three markets now. One is solar panel recycling. The demand equation is exponential. Biofuels, the demand equation is exponential. And all of a sudden, data, infrastructure, compute, is exponential. So we just need to be very, very particular about how we do this, and we will, right? We will. We're not obviously going to put any of our existing commitments at risk. Everything -- if you ask me what percentage of time do we spend on what, we're spending 95% of our time on the execution of the metal recycling deployment. And Fortunato and his team are spending 110% of their time on the metal deployment. So we're feeling pretty good about the opportunities that we're facing right now. We're trying to be as focused as possible, though, to make sure that the execution is strong. And it is. So far, it's -- we're very happy.
Zach Spencer: Corrado, we have a final question -- actually, two questions on Bioleum. How much do you expect to realize from the separation of Bioleum? And how will that translate into share price?
Corrado De Gasperis: So if you were to compare and contrast metals and fuels, they're very different, right? So metals is high speed. It is low capital, it is high throughput. Bioleum is a little bit slower in commercialization and deployment. It's much higher capital, very strong throughput, right? The common denominator is high growth, high throughput. But the market, it's not infinite, but it might as well be as far as we're concerned, okay? We're a tiny, tiny fraction of liquid fuels. In the United States, I mean, our highest expectation, we're doing 8 billion gallons. We would barely be a knit in the 250 billion gallon market. So that's the U.S. alone. So the simple answer to the question is our objectives are not in the single billions of value, okay? They're in much, much bigger numbers. And so I don't want to speculate on values or timing. What I do know is that there is a 5-year plan -- and we would look to be public or facing being public in this 5- to 6-year period. The markets will ultimately dictate when that happens. Our execution will dictate how soon we'll be ready for that to happen. But the numbers are very, very -- the potential, what we're going for is remarkable. You want to run a sensitivity on $1 billion, that's easy. If we had 60% of $1 billion, you want to run a sensitivity on $10 billion, you want to run a sensitivity on $100 billion. What's your timeframe? I'm not going anywhere, right? So two decades from now, we'll have something very, very different in our hands. So it couldn't be more exciting.
Zach Spencer: Corrado, speaking of time, we're coming up on time. And I think we covered all of the important questions. If we did not get to your question, please send it to ir@comstockinc.com and we'll do our best to respond either directly or we'll post the response on X. For anyone who is not following us on X, our main account is [ @comstockinc ]. Please follow us. Corrado, before we wrap up, please give us some final thoughts for the remainder of Q4 and the rest of 2025.
Corrado De Gasperis: Yeah, absolutely. The most exciting thing is the issuance of these permits, there's this public period and then the arrival of the equipment announcing new and bigger customers and then commissioning and going into production with metals. It's going to be fluid. It's a river from here until April-May, it's going to be incredible. With fuels, there'll be some transactions, and they're all fortifying and they're all credibility enhancing because of the capacity and competency and technology that they bring in to the system. And then with mining and SSOF, I do think there will be some transactional activities. The timing of that is less in our control but becoming more and more prevalent.
Zach Spencer: Thank you, Corrado, and thank you, Judd. That concludes Comstock's Third Quarter 2025 Earnings Call and Business Update. Thank you all for joining us.
Corrado De Gasperis: Thank you.